Operator: Good day, ladies and gentlemen. [Operator Instructions]
Unknown Executive: Good morning, and welcome to Procter & Gamble's quarter-end conference call. Today’s discussion will include a number of forward-looking statements. If you will refer to P&G’s most recent 10-K, 10-Q and 8-K reports, you will see a discussion of factors that could cause the company’s actual results to differ materially from these projections. As required by Regulation G, P&G needs to make you aware that during the call, the company will make a number of references to non-GAAP and other financial measures. Management believes these measures provide investors valuable information on the underlying growth trends of the business. Organic refers to reported results, excluding the impacts of acquisitions and divestitures and foreign exchange where applicable. Free cash flow represents operating cash flow less capital expenditures. Free cash flow productivity is the ratio of free cash flow to net earnings. Core EPS refers to earnings per share from continuing operations excluding certain items. The effective tax rate on core earnings represents the effective tax rate on continuing operations less non-core impacts. P&G has posted on its website, www.pg.com, a full reconciliation of non-GAAP and other financial measures. Now I will turn the call over to P&G's Chief Financial Officer, Jon Moeller.
Jon Moeller: Thanks. Good morning, everyone. Bob McDonald and Teri List join me this morning. I'll begin today's call with the summary of our third quarter results, Teri will cover business highlights by operating segment and I'll conclude the call with guidance for the fiscal year ended June quarter. Bob, Teri and I will take questions after our prepared remarks and as always following the call, we'll be available to provide additional perspective as needed. I thought it might be helpful before getting into the details to step back for a minute and start our discussion this morning with a broad view of the state of our business and several of the key factors that have been impacting it, positively and negatively, this quarter and fiscal year. There are many more positives than negatives. Our innovation and expansion efforts have created strong broad-based organic volume growth momentum. Fiscal year-to-date, 5 of 6 business segments, 15 of our top 17 countries and 21 of our $24 billion brands have grown in volume versus the prior year. This has translated into sales growth ahead of market rates, and in line are higher market share and businesses representing over 60% of sales. Year-to-date, market share is in line or higher in all geographic regions, in 14 of our top 17 countries and for 18 of our $24 billion brands. Our top line growth in developing markets has been particularly strong. Volume is up double-digits through the first 3 quarters. We're growing sales ahead of underlying market rates and building market share broadly. Another positive is the early progress we're making to fill in white spaces in our business portfolio across geographies, price tiers and channels. So far this year, we've introduced roughly 30 products into new category country white spaces, 70 products into new category price tiers and have entered 80 new category channel combinations. Pricing, as we said it will at the beginning of the fiscal year, has turned positive and is now adding to organic sales growth. We know that there have been investor concerns about either our pricing math or our pricing attentions, hopefully the positive pricing impact in this quarter's results and in our guidance for the fourth quarter will resolve any remaining concerns. We've delivered solid cost savings of about 150 basis points on average per quarter, cost savings have and will continue to be a key focus for us as they help us buffer higher input costs and provide the fuel for investment in innovation and expansion opportunities. We've continued to enjoy favorable tax audit outcomes. These are further validation of the sustainability of the organization structure we established several years ago. It enables us to release tax reserves to profit and reduce our ongoing tax rate due to lower reserve requirements. Likewise, the continued mix shift of our business toward developing markets is a sustained change that is resulting in a lower ongoing average tax rate, which I'll talk more about later. We continue to be a very strong cash producer. Over the past 3 years, we've generated about $35 billion in free cash flow and we've returned essentially 100% of that value back to shareholders in the form of dividends and share repurchase. We've taken meaningful steps to focus and improve our portfolio of businesses. We're working to finalize our partnership arrangement with Teva Pharmaceuticals, which will enable us to expand both the categories and the markets in which we participate in the consumer Health Care space. We've also announced plans to exit the Snacks business, our last remaining food and beverage category. We expect both of these transactions to be completed toward the end of this calendar year and for both to be a value accretive for shareholders. These positives all point to a strategy that is working and to a healthy business with positive momentum. We are, though, managing several headwinds. The first is slower-than-expected market growth in developed markets. These markets account for about 2/3 of our sales and their underperformance has reduced our total company growth rate by nearly a full percentage point this fiscal year. The best response to slow market growth is innovation. We are very well-positioned here, which is enabling us to grow faster than underlying market rates. In Western Europe, for example, we've grown market share for 15 consecutive months. This compares to retailer brands, which offer less innovation and have lost share for 9 consecutive months. In the U.S., we've held our growing market share for 13 consecutive months and retailer brands, while flat last month, lost share to 5 previous months. We're also facing rapid and significant increases in commodity costs. Since the beginning of the fiscal year, the year-on-year impact from higher costs has more than tripled. We now estimate that materials and energy costs will be up roughly $1.8 billion before tax for the year. In the March quarter alone, input costs are up more than $400 million before tax versus prior year, or about $0.10 per share. We're taking a holistic approach to the commodity cost increases we're facing. First, we're turning up the dial on our productivity and cost savings initiatives. As I mentioned earlier, for the first 3 quarters this fiscal year, we've generated an average of 150 basis points of cost savings per quarter. Second, we're using feedstock and raw material alternatives at lower prices. Third, we're reducing our dependency on commodity and energy costs through our sustainability efforts. We just launched compacted powder detergents in the U.S., for example. These use less packaging material and require less energy to transport. Fourth, where necessary, we'll look to price. We'll couple pricing with innovation wherever possible to positively impact consumer value. In the U.S., we increased prices on Gillette shaving cartridges and disposable razors in February. In March, we increased prices on Duracell batteries. We've announced several additional price increases. In early June, price increases will go into effect on laundry detergents, hand and auto dish washing products, Iams pet nutrition, Head & Shoulders and Metamucil. Effective in late June, our price increases on Bounty and Charmin. And effective in early July, our increases on Pampers diapers and wipes. Outside the U.S., we have raised prices on select products in Western Europe, Eastern Europe, Latin America and parts of Asia. Most of these pricing actions will go into effect in June or July so we'll see the vast majority of the benefit in fiscal year 2012. A third headwind has been negative market events, in Egypt, in the Middle East and Japan. These are large markets for Procter & Gamble. We're overdeveloped in these markets compared to nearly all of our multinational competitors. While our businesses are fully operational, these disruptions reduced organic sales by about 0.5 point on the quarter versus our going in expectations. The last challenge we're managing is supply, where we faced shortfalls in the Blades and Razors, Pet Care, Personal Cleansing, Skin Care, Hair Color and Oral Care categories. We underestimated the strength of new initiatives such as Fusion ProGlide, Crest 3D White and Old Spice body wash, and have proactively made interventions to improve reliability and ensure quality in several categories, which temporarily reduce supply. We're back in full supply across most of these businesses, but are still working to catch up in several. In summary, we're executing our strategy and it's working. Top line growth fundamentals are strong despite the challenges presented by slow developed market growth and crises in the Middle East and Japan. We're growing core earnings per share but the rate of operating earnings growth has been held back by commodity cost increases. We're offsetting these cost impacts with positive tax developments in the near term and with pricing going forward. Hopefully this provides helpful overall context as we discuss our results, which I'll move to now. Our third quarter was another period of solid volume in the market share growth. Volume increased 5%. The growth was broad-based with all 6 business segments, 16 of our top 17 countries and 20 of our $24 billion brands increased in volume versus the prior year. We build market share broadly, holding our growing share in businesses representing approximately 2/3 of global sales. Share was in line or higher in all geographic regions and 14 of our top 17 countries, 5 of the 6 reporting segments and for 18 of our 24 billion-dollar brands. The strong volume and share progress continues to be driven by innovation and expansion programs. We're serving more consumers by expanding our portfolios to higher and lower price points with new product launches such as: the mid-priced Olay Age Protect line; and the restage of Pantene shampoo sachets to the INR 1 price point in India; Downy Single Rinse in Thailand; Fusion ProGlide in Germany, France and Japan; Tampax Pearl in France; Naturella pads in Holland; Era Ultra powder laundry detergent in the United States; and the launch of the Wella Pro Series Hair Care line in Western Europe. We're expanding our portfolio to more parts of the world and entering new country category combinations with initiatives such as: the launch of Downy Fabric Enhancers in Indonesia; the introduction of Olay Skin Care in Venezuela, Finland and Slovakia; and the expansion of Olay Men Solutions to Australia and New Zealand. Many of these new price tier and country expansions also give P&G new presence in retail channels. For example, the Olay expansions give us our first Skin Care presence in the perfumery channel in Venezuela and Slovakia. In addition to these portfolio expansions, we're serving consumers more completely with improvements to existing products such as powder detergent compassion in North America, nice and easy foam hair color in North America, Pampers diapers and wipes upgrades in the SEMEA Region and the launch of Pantene Nature Fusion in new markets in Latin America and Asia. Our innovation on expansion program is supported by a strong multiyear pipeline. Two examples: early next fiscal year, we will launch Oral-B, Pro-Expert toothpaste in the U.K. entering a very large and important market and taking a significant step forward in the globalization of our Oral Care portfolio. We'll also launch revolutionary Tide PODS in North America, a highly concentrated new unit dose 3-in-1 laundry detergent that offers consumers great Tide cleaning, brightening and stain fighting in an ultra convenient form. Getting back to the March quarter, organic sales grew more than 4%, about a point ahead of global market growth rates. This result included 0.5 point headwind from the market disruptions in Egypt, the Middle East and Japan and roughly another 0.5 point headwind from supply shortfalls. All 6 reporting segments delivered organic sales for the quarter that were in line or higher than prior year levels. Global market growth remained at about 3% on a constant dollars basis. We continue to see healthy growth rates in developing markets in the range of 6% to 8%. Developed markets grew about 1% for the quarter, which was a modest improvement versus the December quarter. However, growth remains very choppy from month-to-month. For example, the U.S. market grew nearly 2% in the month of January but was essentially flat in March. Pricing and mix combined to reduce sales by less than a full point for the quarter. Pricing added 1% to organic sales growth, mix reduced sales by approximately 2 points. The mix impact was due to a combination of geographic and product mix. All in sales grew 5%, including the 1 percentage point benefit from foreign exchange. Earnings per share were $0.96, an increase of 16% versus prior-year GAAP earnings per share of $0.83 and up 8% compared to prior-year core earnings per share of $0.89. Recall that are all-in results last year included $0.06 of non-core charges primarily related to the passage of the Healthcare Reform Act in the United States. Our core earnings per share growth was driven by a combination of organic sales growth, cost savings, a decline in the effective tax rate and a reduction in shares outstanding. These benefits were partially offset by negative impacts from higher input costs, higher marketing and portfolio expansion investments and the impact of the market disruptions I mentioned earlier. Gross margin decreased 140 basis points due to higher commodity costs. Higher year-on-year commodity costs reduced gross margin by more than 200 basis points. This equates to over $400 million of higher cost year-on-year or about $0.10 per share. Compared to our going in guidance for the quarter, commodity costs were a hit of about $100 million before tax or about $0.03 per share. We highlighted the worsening commodity cost impact at the CAGNY conference in late February. We indicated we were comfortable with our earnings per share guidance range but that we were not going to abandon our strategy and chase commodity costs simply to deliver a top-of-range or consensus number. Geographic and product mix reduced gross margin by approximately 150 basis points. The higher input costs and mix impacts were partially offset by pricing and strong savings programs was contributed roughly 230 basis points positive to gross margin. Operating margin declined 210 basis points due mainly to lower gross margin. SG&A spending as a percentage of sales increased 70 basis points versus prior-year levels due to higher investments to support our innovation and expansion plans and foreign exchange impacts. The increase in investments more than offset roughly 50 basis points of overhead cost savings benefit. Our effective tax rate was 21.1%. This rate is below historic levels due to a combination of favorable audit resolutions and the benefit of the mix impact from faster growth of our business in developing markets where tax rates are generally lower. The validation of our structure on audit and the continued mix shift of our business towards developing markets are sustained changes that affect our ongoing tax rate. As a result of these 2 factors, we now expect our long-term underlying tax rate will be in the neighborhood of 26%, which is down from our historic rate of 27% to 28%. We generated over $3.2 billion in free cash flow in the quarter with free cash flow productivity of 113%. We continued to return value to shareholders at an aggressive pace. Fiscal year-to-date, we have paid $4.2 billion in dividends to shareholders and repurchased over $4.5 billion in stock. Earlier this month, we increased the quarterly dividend by 9%, making this the 121st consecutive year in which we've paid the dividend and the 55th consecutive year in which the dividend has been increased. In summary, despite several headwinds, the growth fundamentals of our business are strong. We're delivering broad-based volume sales and market share growth across businesses and geographies. Core earnings per share increased 8% and we increased the dividend by 9%. We're continuing to advance our purpose-inspired growth strategy behind our innovation and our portfolio expansion programs. Now I'll turn the call over to Teri to review highlights of the business segments.
Teri List: Thanks, Jon. Beginning with the Beauty segment, organic sales increased 4% versus year ago, behind 6% organic volume growth. One point of positive pricing from the increases in Latin America and Prestige were offset by 3 points of geographic and product mix. Value share for the segment was consistent with prior year. Retail Hair Care volume grew high-single digits, with developed markets up mid-single digits and developing markets up double-digits. Asia led the growth with both Head & Shoulders and Rejoice shipments, increasing in the mid-teens and Pantene shipments increasing over 20%. In Latin America, Brazil was particularly strong with Pantene volume up over 40% behind the successful Gisele Bundchen celebrity endorsement and Head % Shoulders, which was introduced in November delivering ahead of target. In developed markets, Western Europe shipments were up double-digits and value share grew nearly 0.5 point. The growth was widespread across multiple countries and brands. Pantene volume increased double-digits in the U.K., Germany and Spain and Head & Shoulders volume increased mid- to high-teen in the U.K., Italy, Spain and France. The new Wella Pro Series that was introduced into several countries across Europe is shipping ahead of expectation. North America Hair Care volume was flat, with strong growth in Head & Shoulders, offset by soft Pantene shipments. Upgrade to the Pantene product lineup and communication have recently been implemented. Female Skin Care shipments were flat on a global basis. Developing markets increased high-single digits as the geographic and portfolio expansions of Olay continue to deliver strong growth. Latin America grew nearly 30% behind the expansion into Brazil and commercial innovation in Mexico. In Asia, both the Philippines and India more than doubled shipments versus year ago as we expand the Olay portfolio horizontally in the markets. Developed market Skin Care shipments declined high-single digits. North America volume declined double-digits due to a temporary stop shipment of the Olay UV line, in advance of a reformulation and restage, which we expect to launch in the next few months. Partially offsetting this, Western Europe grew low-single digits with a combination of strong growth in the U.K. and Germany, and declines in Italy and Spain. Prestige organic volume grew mid-teens. Prestige Fragrances was up mid-teens with strong growth across all regions. Initiatives such as Gucci Guilty, BOSS Bottled Night and Lacoste were strong contributors to the growth. Prestige Skin Care volume grew high-single digits behind continued SK-II strength and overall market growth. Salon Professional shipments were down high-single digits due to market softness in Western Europe and continued streamlining in the portfolio. In Grooming, organic sales increased 7%, an organic volume growth of 2%. The benefits from list price increases and lower year-on-year promotional spending contributed an additional 5%. Global value share was up slightly in a growing market. Male Blades and Razors shipments increased low-single digits. Asia and Latin America led the growth, both up mid-teens. In Asia, India Blades and Razors volume increased over 25%. India MACH3 volume grew nearly 40% behind the MACH3 sensitive razor and Gillette Guard continued to perform well. In Latin America, Mexico, MACH3 volume grew nearly 50% behind our Sensitive Skin initiative and Brazil MACH3 volume grew more than 50% behind the multi-category Gillette mega brand commercial innovation. In developed markets, Western Europe and North America volume was down mid-single digits. Western Europe volume decreased as volume gains from the launch of Fusion ProGlide were offset by blade market contraction and a volume shift between quarters as expected due to a January price increase. North America volume was down and strong volume growth in Fusion was offset by softness in MACH3 and Gillette Legacy Blades and Razors for our business model trading up consumers to premium systems. Full supply capacity for Fusion was online March 1 and full commercialization begins in April. Male Personal Care shipments increased high-single digits. North America volume grew double-digits behind strong deodorants growth and full supply capacity for Old Spice Body Wash. Latin America volume grew over 20%, with Brazil up more than 40% behind the Gillette mega brand and Guy Aisle [ph] executions and expansion in deodorants. Appliances volume was down high-single digits largely due to softness in Europe. Health Care organic sales increased 5% behind 4% volume growth. Price increases in developing markets added 1% to sales and mix was neutral. Global value share was up nearly 0.5 point. Global Oral Care unit volume increased mid-single digits and global value share increased more than a point to 23%. North America shipments were up mid-single digits and share increased to over 2 points. The main driver of the growth was the 3D White initiative, including the 2-hour Express Whitestrips which launched in December. Western Europe volume was also up mid-single digits and share increased nearly 2.5 points. Toothbrush share grew more than 3 points across the region, driven by the Power Brush business. In Belgium and the Netherlands, Oral-B Toothpaste continues to perform ahead of target with share above 12% in both markets, up more than 4 points versus year ago. Developing markets increased mid-single digits. Latin America shipments were up mid-teens and value share was up nearly a point. Brazil Oral-B Paste and Brush volume increased more than 30% and value share was also up nearly a point. Mexico Crest volume increased more than 10% and value share was up nearly 4 points. In Asia, both the Philippines and India volume increased nearly 25% behind successful toothbrush initiatives. Feminine Care volume grew low-single digits. Naturella brand shipments increased nearly 20%, up high-teens or more in all regions. All recent expansions including Greater China, Brazil and most recently Holland, continue to perform well. The Always and Whisper volume grew low-single digits. India Whisper volume increased over 40% behind the Whisper Choice restage and Germany volume was up mid-teens behind the Steven [ph] endorsement and the product restage. Personal Health Care shipments increased high-single digits, with developed markets up double-digits and developing markets up low-single digits. North America volume grew double-digits and value share was up nearly 1 point, mainly behind Vicks growth from a strong cough-and-cold season and product initiatives. Snacks and Pet Care organic sales were flat versus year ago. Organic volume growth was offset by geographic and product mix, global value share was down slightly. Mix volume increased double-digits and with all regions growing and share was up. Developed market shipments grew high-single digits, with both Western Europe and North America gaining strong retailer support. Developing market shipments were up nearly 25%. In the SEMEA Region, Turkey and Russia increased shipments more than 80% versus year ago behind increased distribution within the markets. Pet Care shipments, excluding the Natura acquisition, were down mid-single digits. Full supply capacity was restored within the quarter and merchandising support began in March. We expect it'll take several months for customer and consumer support to return to normal levels. Fabric & Home Care organic sales were up 3%, behind 5% organic volume growth. Pricing was neutral and mix was negative 2% impact. Global value share increased 0.5 point. Fabric Care volume increased mid-single digits and global share was up nearly 0.5 point. Western Europe volume was up mid-single digits and share grew nearly 1 point. In France, Ariel liquid tabs shipments grew mid-teens and in Italy, Dash liquid tabs shipments grew nearly 25% behind commercial innovation and customer support. In the U.K., Ariel volume increased over 30% due to the laundry additives launch and Lenor increased over 25% with the introduction of a new large-size and increased customer support. North America volume was up slightly and share increased nearly 1 point. Strong growth in Downy was offset by a declining laundry market. In developing markets, the BRIC countries had strong performance, growing volume more than 15% on average. In Brazil, Ariel volume more than doubled behind strong support of liquids. In Russia, Tide volume increased more than 15% and Downy volume increased more than 35% due to fabric enhancer compaction and increased media support across Fabric Care. In India, Tide volume grew more than 60%, with the continued success of Tide Naturals. And in China, Ariel shipments increased nearly 25%, driven by the strong growth of both liquids and powders. Home Care organic shipments grew high-single digits, with volume-up across all regions and global value share was up nearly 1 point. North America volume increased mid-single digits and value share was up nearly a point. Febreze shipments grew mid-single digits behind the Febreze Set & Refresh and noticeable initiatives. And gain handish volume shipped more than double expected levels. Japan volume increased double-digits as the expansion of the Febreze portfolio into aerosols continues to drive growth. Developing market organic shipments grew high-teens. The Central and Eastern Europe, Middle East and Africa volume increased more than 30% with a large portion of the growth coming from Dish Care expansion into markets including Turkey and Morocco and the balance from the Ambi Pur acquisition. Asia volume was up over 40%. The growth was a combination of volume from the Ambi Pur acquisition and organic increases. Batteries volume was flat on a global basis and value share grew nearly 1.5 point. Developing market shipments increased high-single digits. India volume more than doubled to increase distribution and marketing support and Russia volume increased nearly 20% behind recently introduced product upgrades and strong focus on in-store sales fundamentals. Developed markets declined low-single digits, driven by North America lapping a high-base period driven by the introduction of value pricing in March of last year. Baby and Family Care organic sales grew 5%, organic volume increased 7%. Pricing increases in Latin America added 1% and product mix was a negative 2% impact. Global value share was up over 0.5 point on top of global market growth of approximately 3 points. Baby Care shipments were up high-single digits and global value share increased nearly a point. Developed market volume was up low-single digits. North America shipment trends reflect the lapping of the pipeline volume from the Dry Max launch in fiscal year 2010. This was more than offset by mid-single-digit growth in Western Europe and more than 30% growth in Japan. Western Europe growth was broad-based across Germany, the U.K. and France behind the Dry Max initiative and the new Golden Sleep commercial innovation. Japan growth was a combination of increased customer support, a new consumer loyalty program and some pants reloading driven by the natural disaster. Developing market volume increased high-teens. Latin America shipments were up more than 20% and value share grew over 2.5 points. Venezuela volume increased more than 40%, benefiting from local market production and Brazil volume increased over 25% through distribution gains and commercial innovation. Greater China shipments were up over 25% and India shipments were up nearly 50% behind strong market growth and the Golden Sleep commercial innovation. Family Care volume grew mid-single digits and value in share increased 0.5 point. U.S. Charmin shipments were up mid-single digits and share grew nearly 1 point in a growing market. The base Charmin business volume was up due to product upgrades and commercial innovation and Charmin Basic shipments were up more than 20% mainly from distribution and shelf-space gains. That concludes the business segment review and I'll hand the call back over to Jon to discuss guidance for the June quarter and for the fiscal year.
Jon Moeller: Thanks, Teri. The perspective I provided at the beginning of the call is relevant to both our results and our outlook for the balance of the year. Starting with guidance for the June quarter. We're estimating organic sales growth in the range of 4% to 6%. We continue to expect to grow volume and sales ahead of underlying market growth rates building market share. Market growth itself remains a key source of volatility in our top and bottom line results. Our fourth quarter outlook is based on 2% to 3% constant currency global market value growth. We expect all-in sales growth of 8% to 10%. This includes a benefit from foreign exchange of approximately 4 points. Earnings per share are forecast in the range of $0.80 to $0.85, up 13% to 20% versus prior-year earnings per share of $0.71. The very strong bottom line growth is expected to be driven by a combination of solid top line growth and modest operating profit margin expansion. The bottom line comparison also benefits from high advertising investment levels in the base period. We're keeping a wide earnings per share guidance range to reflect ongoing volatility in market growth rates, from crisis affecting large markets and in commodity and energy costs. Moving to the fiscal year. We're tightening our organic sales growth guidance to a range of 4% to 5%. This compares to underlying global market growth for the year of about 3% and reflects our expectation to grow 1 to 2 points ahead of market levels and grow market share. We expect all-in sales growth of 4% to 5%. This includes a roughly neutral impact from foreign exchange and the net effect of acquisitions and divestitures. We're also tightening the core earnings per share guidance range to $3.91 to $3.96, which equates the growth of 7% to 8% versus prior-year core earnings per share of $3.67. This compares to our previous outlook for a 7% to 9% growth and reflects the impacts of higher commodity and energy costs, market disruptions and our intention to maintain strong investment levels behind our innovation and expansion growth opportunities. For a perspective, the disaster in Japan will affect fiscal year earnings by about $0.02 per share, with a large majority hitting the fourth quarter. Our revised energy and commodity cost outlook results in roughly a negative $1.8 billion before tax impact on fiscal year 2011. This is about $500 million worse than we predicted at this time last quarter, which equates to roughly $0.13 per share. About $0.03 of this hit in the March quarter and the balance will affect the June quarter. As I mentioned earlier, we've announced a large number of price increases in markets around the world to help offset these cost increases. The majority of these recently announced increases will go into effect in June or July and will primarily affect fiscal year 2012. All-in GAAP earnings per share is now expected in the range of $3.89 to $3.94. This range includes the impacts of the non-core tax benefits and legal charges from earlier in the fiscal year. As I mentioned earlier, we're now projecting a long-term underlying effective tax rate of around 26%. We expect to end this fiscal year with a core tax rate of around 24%. This is lower than the long-term rate due to the large number of favorable audit results we received during the year. Free cash flow productivity should be around 90% for the fiscal year and we continue to expect share repurchases to be within our $6 billion to $8 billion target range. We've already received some questions on when we might provide guidance for fiscal 2012. Our plan is to provide our 2012 outlook on our next earnings call, which is scheduled for Friday, August 5. We're currently in the midst of our detailed financial planning process for next year. While we're not in a position to provide an outlook today, our eventual target for sales and earnings per share growth will be driven by a combination of base business growth and investment choices to support our innovation and portfolio expansion plans. It will also reflect our emphasis on cost savings and productivity. We want to assure investors that our overriding objective remains to simultaneously grow market share and operating profit to deliver the leadership levels of value creation to the owners of this company. We're confident that our growth and operating strategies are the right ones to deliver top and bottom line results that we and our shareholders expect. Now Bob, Teri and I would be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Nik Modi with UBS.
Nik Modi - UBS Investment Bank: So it strikes me as one of the key issues that P&G has been facing in the last few years has been some of the higher margin businesses have been struggling whether it be the U.S. Beauty/Grooming and China which is obviously one of your highest margins in emerging markets. Could you just provide any perspective on those 3 businesses and kind of where we are right now and where you expect it to be, and the challenges that you face -- if you're correcting those challenges?
Robert McDonald: Relative to the higher margin businesses, as you described them, in North America in particular, the issue in North America is the lack of market growth rate. Jon talked about the fact that the market growth rates we've seen in North America had been below our going in expectation and that actually, in the last -- in the quarter that we're reporting, the market growth rate is actually decelerated throughout the quarter. We are growing market share in North America and many of those market share increases are on the businesses that you described as higher-margined. So we're happy with the fact that we are growing market share, even though we wish that there were more market growth. For perspective, we've grown -- held or grown market share for 13 consecutive months in North America. Now having said that, within that, one business that we're working hard to improve is our Pantene business. We've talked on previous calls about Pantene North America and that our restage earlier in the fiscal year did not go as well as we wanted. We've had a few design in assortment issues that we're working to correct. And in mid-February, we launched 7 new 2-in-1 SKUs and 5 new large-sized SKUs with a new marketing campaign, which have all gotten good strong consumer support and customer support. The brand is going to continue to strengthen plans in the U.S. over the coming months and we have a breakthrough commercial innovation that will hit the market in the September quarter reinforcing Pantene's Health equity. So in terms of the U.S., I'm expecting North American Pantene, which has been the hole in the bottom of the bucket, so to speak, to improve. Relative to China, we continue to have accelerating top line growth rates in China. In fact, through the last quarter, we actually have grown our Asia business substantially. We've grown our Asia market share a 0.6 points and our top line growth in Asia has been double-digits. So we're happy with what's happening in Asia. What we need to do there is we need to get our Olay business and our Olay market share growing more strongly and we're working very hard on that as we speak. So I expect you're going to see over the next few months improvement in the North America Pantene business, improvement in the China Olay business and that will lead to better results for the company.
Operator: And your next question comes from the line of Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG: So you broke out the volume kindly developed versus developing market. Can you just take a stab at what the total sales growth was by both regions? And then I'd -- like the real sense to that question is why is the promotional environment still so intense when you have all of this pricing coming through, but it seems like most of it is being mitigated by extremely high promotional levels, which I think are check-in categories?
Robert McDonald: Relative to the volume in sales by region, Bill, let's start with North America. We grew our organic volume in North America 1%. We grew organic sales -- our organic sales were basically flat. In Western Europe, we grew organic volume 4%. Organic sales were up 4%. In Japan, we grew organic volume 8%. Organic sales were up 7%. So in the developed markets, as we consider them, we grew organic volume 3%. Organic sales were up 1%. In the developing markets in Central Europe, Middle East and Africa, we grew organic volume 3%. Organic sales were up 3%. Latin America, organic volume up 9%. Organic sales up 19%. Asia, excluding Japan, organic volume up 15%. Organic sales up 12% as I alluded to in the answer to Nick's question. China is a big part of that. So in developing markets, organic volume was up 9%. Organic sales were up 10%. Total company -- total quarter, organic volume up 5%. Organic sales up 4%, price mix minus one point. Relative to promotion spending, I'm not seeing the acceleration in promotion spending that you're describing. In fact, what I'm seeing is a deceleration and in terms of the pricing that we're seeing, we're seeing that some of the deceleration in promotion is resulting in higher pricing, higher effective pricing and market. So I'm not seeing the effect you described.
Jon Moeller: Just to build on that, Bill. Our volume sold on promotion and the last quarter was 3% lower than a year ago.
Operator: Your next question comes from the line of Wendy Nicholson with Citi Investment Research.
Wendy Nicholson - Citigroup Inc: My first one is just a little follow-up to Nick's question because, Bob, you talked about Pantene and one of the things you said that caught my ear was the large size was going to be reformulated. And I don't think you called out Pantene as one of the brands that was going to have a price increase. So I'm wondering if just what you're trying to narrow the price gap and make that less of a sort of Premium, Super Premium brand on in an effort to gain share. But my bigger question is on the SG&A spending because that was up. It seems like a lot more, certainly a lot more than I expected, and I'm trying to figure out how much of that was plain old advertising. Was there something else in there that was sort of unusual this quarter? And I guess specifically, did you know that the tax rate was going to be a lot lower than we had all modeled and so you threw stuff in there to sort of depress the operating income growth so your EPS came in line with the target? Thanks.
Robert McDonald: On Pantene, Wendy, there is no intention to reduce pricing on Pantene or anything like that. Really, the reaction was that when we did the relaunch last year, we went to a new architecture for Pantene that was around hair type. And when we did that, we took out in North America. We took out SKUs that were 2-in-1 SKUs or that were large-size SKUs. So we're in essence, replacing those. And we're doing that with a new marketing campaign, as we described, because the previous marketing campaign wasn't effective enough. So we think that these are going to strengthen our plans in the coming months and will lead to growth in the future. Jon?
Jon Moeller: The SG&A question, it's largely advertising, which is in support of our innovation and portfolio expansion plans. There's a small amount of that x impact in that as well. But simplistically, it's advertising. I talked at CAGNY about the fact that our operating margin, our operating earnings progress is going to be skewed towards the fourth quarter, and we talked very explicitly, I think in the Q&A session, at CAGNY about a lower tax rate. So yes, we were aware of a lower tax rate. We planned on that basis and as we said we would, adhered to our strategy despite the increasing commodity cost and spend to support our innovation programs.
Robert McDonald: And that's the reason we're holding or growing share in 2/3 of our business globally.
Operator: Your next question comes from the line of Lauren Lieberman with Barclays Capital.
Lauren Lieberman - Barclays Capital: Thanks. First as a follow-up on the advertising question because I think one thing that's been interesting so far in the few earnings reports we have from both your direct kind of competitors and others within Staples is that companies are tapping into advertising budgets as a source of offsetting cost inflation. So can you explicitly say at this point that as we look, I know you're not giving guidance for fiscal '12, but is it safe to assume your advertising budget will be sacrosanct as we look ahead over the next 12 months?
Robert McDonald: Lauren, if you look historically, our advertising spend, our media spend has been generally around 10% of our sales and I don't expect that to change. I mean, we're going to continue to invest in our brands. Now as we do that, you'll have to understand while the gross percentage will stay to be about 10%, which is what it has been 9% to 10%, the internals change quite dramatically as we move more and more to our advertising spend to digital and other forms of media, which may be more effective and more efficient. So we're actually getting a lot more for advertising spend than we ever have before, and we have a marketing mix modeling technique that tells us the ROI of each medium. And as a result, we can move money to the more effective medium. So we're getting a lot more for the money that we're spending but the amount we're spending as a percent of sales is about the same. Obviously, given the size of our company, we have a scale advantage versus our competitors who may be smaller and spend less money.
Jon Moeller: And I think the notion of sacrosanct is probably right on, Lauren. I think you see a strong evidence of that in this quarter. We're going to execute our strategy. It's working. And I'm not going to worry about $0.01 below consensus on earnings per share, cut back advertising and effect the long-term health of this business. That's not what we're about.
Operator: Your next question comes from the line of John Faucher with JPMorgan.
John Faucher - JP Morgan Chase & Co: Thanks. So as I look at this, Jon, you and Bob have talked about profitable share growth as the metrics, and I think as we look at it, the share growth has been there and the profit hasn't. So as much as we would have liked at least. So as you look out over the last sort of 12, 15 months in this change in strategy, can you talk about maybe what iterations you need to make? What changes you need to make in terms of how it's implemented? And then also talk about that in the context of well, we don't need to make changes. It's simply the category. The category growth hasn't been there, which has basically kept us for having this virtual cycle of being able to fund the reinvestment more from upside as opposed to through the lower tax rate like you've mentioned in the last couple of comments? Thanks.
Jon Moeller: Yes, I think John, there's one variable which has kept us in the last couple of quarters from having a very strong top line and very strong bottom line progress. And that's the commodity cost increases, which have just been significant. Obviously, as we articulated our plan, we knew there'd be volatility in commodity costs. We didn't expect this kind of run-up. I mentioned in my remarks that the amount of increase we've seen this year is triple what we expected going into the year. And it simply takes some time to get the pricing in place to offset that and bring through the cost savings that we're very focused on doing. You do see at least from our guidance standpoint very strong top and bottom line growth in the fourth quarter, and we try to acknowledge at the end of our remarks that we are very committed to delivering both of those.
Operator: Your next question comes from the line of Chris Ferrara with Bank of America.
Christopher Ferrara - BofA Merrill Lynch: Thanks, guys. So I know you just talked about balance, Jon in particular, I guess around when you started talking about 2012 a little bit and that you expect to grow both top and bottom line. And I guess, I just wanted to understand without delving too far into fiscal '12. It does seem like there's got to be somewhat of a prioritization, right? I mean because with commodity costs to your point doing what they're doing and the fact that the pricing has lagged that pretty significantly. I guess can you talk about conceptually how you think about the commitment to the reinvestment you guys have been making and the strategy that's been working and the commitment you made to investors to deliver that high singles to low double number because it just seems like both will pretty difficult next year especially with the 3-point drag from the tax rate normalizing? Thanks.
Jon Moeller: Well, I'd say couple of things. One, the tax rate will continue to be lower as I talked about. So it won't be a full annualization of the benefit from this year. The question behind the question in terms of are we willing to make priority calls to be able to deliver both the top and bottom line. The definitive answer is, yes. We have many more things that we'd love to spend on that we're not, simply to try to deliver both top and bottom line growth. And I expect that will continue to be our approach going forward. And you also have to be careful about looking, as I know you know, at just one variable, which is commodity cost. We also have, on the other side of the equation, a relatively favorable foreign exchange development as well, which should enable us to deliver both top and bottom line growth and support a number of investments though not all we'd like.
Robert McDonald: Chris, I would say that one of the reasons that Procter & Gamble is one of the most admired companies in the world for the development of leaders and that many Procter & Gamble leaders lead Fortune 500 companies around the world is because of their ability to lead during times of uncertainty and deliver balanced results both on the top and bottom line. And any leader at Procter & Gamble knows that they have to deliver top line growth and bottom line growth. And the way to square that circle is to make sure that we're constantly and consistently working to make the company more productive. That and over my 30 year career, every year, we have increased the productivity of the company 4% to 6%. So we've got to have the cost savings programs in place. We've got to do -- we've got to go after headcount. We've got to reorganize the company. We've got to do the things necessary to make sure we can deliver that bottom and top line growth. Remember our overarching objective is to be in the top third of our peer group in terms of total shareholder return. It's really that simple. So a simple focus on a single metric is obviously not sufficient for the leaders of our company.
Operator: Your next question comes from the line of Joe Altobello with Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc.: Thanks. Just first, one question on the new Tide PODS. How patent protected is this? What's been the response from retailers, competitors? And what sort of the margin pickup versus baseline Tide? And then maybe another question on the relaunch of Fusion ProGlide. How that's going?
Robert McDonald: Relative to the patent protection on Tide PODS, Joe, you can imagine it's quite strong. If you look at our dishwashing business and you see what we've been able to do with the single-unit dose in dishwashing, you look at what we've been able to do, introducing automatic dishwashing on top of the strong hand dishwashing businesses we already have. It's one of the reasons our Home Care business has been one of our fastest-growing businesses around the world and Teri reviewed those results. All of that patent protection is -- exists in the laundry form as well, not just on the chemistry and the film and how that's done, but also on the manufacturing process because many of our manufacturing processes are also patented and protected since there's intellectual property there. So I don't imagine that this is going to be able to be copied in anyway that it will become a threat. We're expecting this form to be a big success. We think it will be up to 30% or more of the volume in the United States. And importantly, even though we didn't mention it in our remarks, this is really a good thing for the environment, and it's a good thing for retailers the liquid form within the pouch, within the packet is twice as concentrated as liquid laundry detergent. So you're going to do a lot better for the environment, a lot better for retailers, a lot better for homemakers in terms of using this product.
Jon Moeller: And your question on Fusion ProGlide and the relaunch there, we really just began that. So we expect very good things but it's too early to quote a result.
Robert McDonald: Yes. I was at Boston yesterday and I reviewed the relaunch plan and I'm very excited about we've gotten great customer support. The inventory is back in the store as we've restarted advertising back at the launch weights, and we have some new campaign executions which you'll be seeing very soon that I think you will really like. So please continue watching.
Operator: Your next question comes from the line of Connie Maneaty with BMO Capital Markets.
Constance Maneaty - BMO Capital Markets U.S.: Could you give us your perspective on these declining category growth rates? When the last time was that you saw them? How long you expect it to continue? And with a flat to down birth rate in the U.S., what is the likelihood that the categories can pick up without that?
Robert McDonald: Well, Connie, I think that what we're seeing is, at least in part, the effect of the increasing gas prices. I think what the volatility that Jon talked about month to month from January to March is in part at least affected by gas prices. I also have to say I think it's affected by consumer confidence. And as you see, for example, the S&P rating of the United States being lowered, as you hear politicians fighting with each other rather than getting after what the problems are, that affects consumer confidence. And as Larry Summers once told me, consumer confidence is the cheapest stimulus that can be bought. So we're all hopeful that we'll get back to a situation where the markets will be growing at passed rates and we're ready for that. Relative to birthrates and other things, I continue to believe the U.S. is a growthful market, and it's up to us to make it that way. We have to do that through our innovation. I think you're going to see that Tide PODS, as an example we just talked about, will return market growth to the Laundry category. I think you'll see that Fusion ProGlide will return market growth to the Blades and Razors category. And so we take responsibility for delivering market growth. Relative to birthrate, the birthrate in the United States is shifting. The minority will become the majority by 2040, 2050. And we're still counting on a growing Baby Care business.
Operator: Your next question comes from the line of Bill Chappell with SunTrust.
William Chappell - SunTrust Robinson Humphrey, Inc.: Just one quick follow-up and then one question. On the tax rate, Jon, did you say that you don't expect the tax rate to get back to 26% next year? And then the actual question was just trying to understand pricing as we look into next year and with so much of the pricing being weighted towards kind of the June, July time frame in terms of passing it through, would you expect an accelerated purchases from some of your retailers in front of that or should that pretty much even out over the next 3 or 4 months anyways?
Jon Moeller: Relative to the tax question, you're right. The rate will increase from 24% this year to 26%, roughly on a going basis. I don't know exactly what it'll be next year. We haven't gotten that far in our planning process. My previous answer referred to it not going back to historic rate. So I'm sorry if I caused any confusion there. Bob, do you want to talk about pricing?
Robert McDonald: We're pricing broadly across all region, across all brands. Basically, the pricing that we're taking is not as much as it was in the 2008 period. But nevertheless, it is still across many brands and across many categories. Our intention obviously is to take price increases to offset increasing commodity costs where we can't cost save. We've already implemented new price increases across U.S. Batteries and Blades and Razors and JFM. As Jon and Teri talked in their remarks, in earlier this month we announced to our customers that we're taking price increases across many businesses in North America, powder detergents, Bounty, Charmin, Pampers just to name a few. Taken together, we have implemented announced price increases across brands representing about 50% of our U.S. sales this calendar year. And we're also taking foreign exchange price increases, which is what we normally do to protect the fundamental financial structure of our business and such as in places like Venezuela. And we've increased prices where necessary in emerging markets. We talked, for example, about Tide Naturals and Tide Naturals in India where we increased the price 8% in the quarter that we're reporting on.
Jon Moeller: I wouldn't expect the pricing moves to have a dramatic impact on the year-to-year volume trends.
Operator: Your next question comes from the line of Jon Andersen with William Blair.
Jon Andersen - William Blair & Company L.L.C.: Thanks. I just wanted to touch quickly on some of the supply constraint that you've been experiencing. It sounded like that was a drag of about 0.5 percentage point of the top line in the current quarter. Where are you still working to get the fly back on line? How quickly can you do that and that drag diminished going forward? Thank you.
Jon Moeller: The drag clearly diminishes going forward. As I mentioned, we are back in full supply on most of the items. There are a few we're still working on, and you can imagine from a competitive sensitivity standpoint why I'd not want to get into the specifics there. But that should be a tailwind going forward.
Operator: Your next question comes from the line of Jason Gere with RBC Capital Markets.
Jason Gere - RBC Capital Markets, LLC: Thanks. Guys, just going back to the pricing front and I know your comment now is that you don't really see the price increases that you're taking to have much of an impact on the volumes. But I'm just wondering in terms of the conversations you're having with retailers. Some of them, we're hearing, are a little hesitant about taking price increases with the consumer still pretty strapped. So I'm just wondering about the merchandising side if you think all of that pricing is going to stick, if you think there's going to be a little bit more incremental merchandising. I'm just wondering if you could give a little perspective on that?
Robert McDonald: Jason, as we referred to earlier, the pricing gets executed in many different ways. Some of it is a deceleration of promotion spending and I said that we've seen some of that from our competition already. Some of it gets executed in new items. For example, if you buy a Fusion ProGlide, there's a pricing impact of that versus regular Fusion. Some of it gets executed in different sizing and pricing. We've reduced, we've condensed our powder laundry detergents. We have Tide PODS going out. So this isn't just like you walk up to the shelf and you see the same old package and suddenly the price is a little bit higher. And as a result of that, we're able to get these price increases through. We're able to get them to the shelf, and I actually don't expect them to affect merchandising very dramatically at all. The key is we've got to continue to innovate.
Operator: Your next question comes from the line of Doug Lane with Jefferies.
Douglas Lane - Jefferies & Company, Inc.: Getting back on the margin question. We've seen the core operating margins down a couple of hundred basis points for 2 quarters now. So I guess, should we look at this as potentially a reset of some sort on the margins off of recent peaks in the 20% to 21% range? Or are you fairly confident you can get back to holding operating margins in the next couple of years?
Jon Moeller: We would expect to hold or build operating margins over the next couple of years.
Robert McDonald: It's basic leadership of our company, Doug. There's a difference between our guidance on the top line and our guidance on the bottom line, and then in order to square that circle, you've got to improve the productivity and the profit margin quarter-to-quarter. And if you're an effective leader of Procter & Gamble, you'd do that. And if you're not an effective leader of Procter & Gamble, you don't do that.
Operator: Your next question comes from the line of Tim Conder with Wells Fargo.
Timothy Conder - Wells Fargo Securities, LLC: Thank you. Just a couple here. Just maybe a little bit of clarity. Can you talk a little bit more about the Female Beauty part of volumes here? Was that impacted by the decreased shipments ahead of the North America Olay reformulation and restage launch and especially in light of your international expansion with that product? And then secondly, pricing in Asia, you gave some color there. To what degree you can or you want to comment about China specifically on how those pricing actions are holding?
Robert McDonald: Well, specifically on the Female Beauty and the Skin, Teri talked in her remarks, I have to find it but that we had to withdraw a number of products that were in the North American market because of the UV protection technology that we were using. We withdrew those products and that had a big impact on the volume for Olay for the quarter as well as for North America for the quarter as well as obviously for the Olay North America combination for the quarter. We worked very quickly to reformulate those products at a record pace, and we're in the process of getting them back into the market and to mitigate the impact of this. But that was a very big impact on the quarter.
Jon Moeller: But overall, I think it's important just to repeat that we grew organic volume in Beauty on a global basis 6% on the quarter. So that total business is really accelerating.
Robert McDonald: In terms of the question on China pricing, we obviously can't talk about pricing plans that we haven't announced. And we haven't at this point announced anything in China.
Operator: Your next question comes from the line of Alice Longley with Buckingham Research.
Alice Longley - Buckingham Research Group, Inc.: I have a follow-up question to the comment that you made a few minutes ago that you would expect operating margins to hold or increase for the next 2 years. In this third quarter, did you expect the SG&A ratio to be up as much as it was or did you have to increase your marketing more than you originally planned in order to generate that 4% organic sales growth? Because this was the first of the easy comparisons for intensified marketing before, and it raises questions about whether you can generate that 4% to 6% top line growth rate without continuing to increase the marketing ratios.
Jon Moeller: Yes, I mean the SG&A number isn't significantly different than what we would have assumed. And again, I tried to be very clear about this during our dialogue at CAGNY, saying that we didn't expect to see operating margin growth or operating earnings growth in the quarter that, that would be skewed to the back half. And as I mentioned earlier, this entire dynamic is driven really by commodity costs, and we've talked about the multipronged approach both increasing productivity, increasing pricing where we need to, to offset that commodity cost increase. And I don't want to get into should have, would have, could have, but if you step back -- if we didn't have $1.8 billion in commodity cost this year, we would have a fantastic bottom line. And it's our job to deal with that. We're doing that. And doing that successfully should lead to operating earnings growth in the future.
Operator: Your next question comes from the line of Ali Dibadj with Sanford Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., Inc.: So just, I guess, 2 very quick follow-ups and then I have kind of a core question. I want to follow-up to just on commodity. Jon, you said commodities for this quarter were a little bit higher and were unexpected. I guess, I'm still confused about why this keeps happening, not just to you but to everybody, given that there's such a cost 3-month lag on commodities and so you kind of know 3 months ago. That's one. Number two, is from an advertising perspective, is this you're going to be higher than your typical run rate and so there is room there as you go forward? And then my core question is, look, from the sound of the call and from your last answer, it sounds like if you weren't for commodities, if it weren't for some of these really horrible things happening around the world in some places, things are great. The strategy is working. But even if you back those out, the growing share and profitably growing share, that last part doesn't necessarily seem to be coming through. And look, it may be temporary, and maybe in response to the first 2 questions you can kind of clarify this part. But I guess, as you look forward, are there elements of the strategy you have been implementing that you're changing, that you're modifying? Because one could say the ROI hasn't been there. I mean I'm sure it's been there for a volume perspective. But you're kind of keeping on a stack base as top line growth is falling a little bit. And I think most importantly for the audience on this call, investors are saying this is not enough for us. So thanks for the 2 quick ones up front, but then the core question is, again, are you changing anything going forward given some of the feedback you've gotten both from your results and also from the marketplace? Thanks very much.
Jon Moeller: Well, in terms of the, first, the commodities question, not everything runs through 3 months of inventory. So, for example, one of the biggest increases and one of the biggest surprises was the escalation in diesel cost quarter-to-quarter and as we went through the quarter. And that flows pretty much straight to the bottom line. And some of the increases as well are in businesses where we historically carry less inventory for instance, our Fabric and Home Care business. And those have come through to the bottom line in the quarter as well. But it's really things like diesel. And if anybody on the line can help me with how to forecast commodity costs, just give me a call, I'd be glad to talk. Advertising this year will be in line in terms of the percentage of sales, figures that Bob quoted earlier. And then in terms of what we're changing to ensure that we deliver both top and bottom line, I'll provide some commentary and I'm sure Bob will want to provide some perspective as well. But we're trying to get even more productive, as Bob mentioned, in everything we do. And that's a very intentional discussion that we have at all levels of the company, and I would argue as I mentioned in my remarks, that we're turning up the dial on that. And that will give us the ability to do what we need to do here.
Robert McDonald: I think the -- what we call our purpose-inspired growth strategy of more consumers, more parts of the world, more completely is working. I think we have evidence of that in the market share growth and in the improving profitability of the business as we've guided for the next quarter. And I think that as Jon says, every year, we make changes to our strategies. Every year we get together. We review what we've done in the past and then we make changes going forward. Certainly, the intentionality around cost savings and productivity is high and will be heightened because we've got to be able to deal with the volatility that we face in commodity costs and in lack of market growth. But I think we're on track. I think we're on track with where we want to be. Given the headwinds that we've seen, we may be delayed from the kind of profitability that we want to deliver quarter-to-quarter. We may be delayed by either the lack of market growth in developed markets, the commodity cost increases or some of the natural disasters that have occurred. But I think we're on track and we're going to continue to pursue the track that we're following and be able to have greater agility in dealing with these one-time disasters that occurred.
Operator: Your next question comes from the line of Javier Escalante with Weeden & Co.
Javier Escalante - Weeden & Co., LP: With organic growth, volume growth of 5%, lapping 7%, which is very respectable given the environment, I would like to dive a bit more in the offsetting the negative mix. Would it be possible to revisit this negative mix and to the extent possible, quantify a breakout of the mix between growth in emerging markets and consumer trade down in developed markets, mainly the U.S. and Europe? I think that you mentioned in the call that you entered 70 new price tiers, are these tiers more in the value tiers I would suspect? If consumers are trading down, I guess, you'd rather have them trading down within your portfolio. But if you could please comment on mix, basically emerging markets versus developed markets, how much is trade down in developed markets? How much is volume and expansion in developing markets? That would be very helpful.
Jon Moeller: Sure. About half of the mix impact is the faster growth of the business in developing markets. The other half is really product category form of mix. It's really not driven by consumer trade downs. The 70 price tiers that we're entering, category price tiers, are split between higher-priced entries and lower-priced entries. So it's not all lower-priced entries. And the best data I can give you to show you that we're not seeing a lot of trade down right now is the market share contrasts us growing market share and private label largely losing market share. That's not symptomatic of an environment on which a lot of trade down is occurring. So it's really just driven by a different combination of products and categories growing at different rates.
Operator: Your next question comes from the line of Linda Bolton-Weiser with Caris & Company.
Linda Weiser - Caris & Company: Just one little simple question. I mean do you have any forecast about what the other nonoperating income might be in the fourth fiscal quarter? Do you think it would be over $50 million?
Robert McDonald: I apologize. I'm not operating at that level of detail but why don't you give Jon a call, following this and he can help you with that.
Operator: Your next question comes from the line of Mark Astrachan with Stifel, Nicolaus.
Mark Astrachan - Stifel, Nicolaus & Co., Inc.: Are there specific categories like Oral Care where you guys are a bit more constrained in your ability to take pricing? Or to put differently, will you take pricing based on how much input costs you're seeing on a specific product and if that's not the case, can you give a bit of color on what factors you take into account before taking pricing?
Robert McDonald: Well, it's -- I apologize for kind of repeating what I said before because the answer is not going to be very different. Certainly, the input costs are an impact in deciding whether or not to take pricing, whether or not you have innovation, what the consumer value impression of your current offering is, what the sizing and pricing differences might be, there are a whole number of things, Mark, that we take to look at, what the competitive situation is, a whole number of things though we take into account. But they really don't differ category by category or even country by country. I would say that it's a relatively common algorithm that gets used everywhere and in every category.
Jon Moeller: And if you look at Oral Care, as one category as you mentioned, we've actually taken a lot of pricing in Oral Care behind a strong innovation. So the Crest 3D White line is an example, is a premium-priced line. Bob talked earlier about pricing taking many different forms. It's not all list price increases on existing products.
Robert McDonald: Yes, Crest Pro-Health or Oral-B Pro-Health is a price premium to the other items in the line. When we introduced Oral Care paste in Brazil, we introduced 4 different price points with Pro-Health or Pro-Santé on the top. So we take pricing in a lot of different ways.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect and have a great day.